Hee-Yeon Kim: Welcome to LG Display's First Quarter Conference Call. My name is Hee Yeon Kim, Head of IR department. I would like to welcome everyone to our global quarterly earnings conference call. I am joined by our IR staff as well as representatives from TV Marketing and IT/Mobile Marketing. J.S. Park is heading up the TV Marketing department. [Seong Choi] (ph) is heading up the IT/Mobile Marketing department. Next slide please. Before we move on to the earnings results, please take a minute to read the disclaimer. I would like to remind everyone that results are based on consolidated K-IFRS accounting standards and are unaudited. Next slide please. This conference call will take about an hour. Before we go into the Q&A session, please allow me to highlight our first quarter results, performance and second quarter outlook. Moving on to revenue and profits on the next slide. With the weaker seasonal demand and inventory adjustment by some customers, the panel shipments declined by 19% quarter-on-quarter and there was some limited ASP decline in selected products. Due to these shipment and ASP changes in the first quarter, we recorded the quarterly revenue at this point KRW 8 trillion, down 22% quarter-on-quarter. Although there was shipment decline in first quarter, we managed to remain (indiscernible) with operating profit of KRW 151 billion by maintaining our differentiated specialty product portion at around 60% of our revenue. Operating profit and margin was 2% while we recorded EBITDA margin of 19%. Income before tax was KRW 41 billion which reflected ForEx related provision loss and interest expense. Net income was KRW 3 billion which included the one-off differentiated a deferred tax asset adjustment and this reflects the new tech policy of the government. It had recently raised the minimum corporate tax rate to 16% from the previous 14%. Moving onto Slide 4, looking at our financial positions and ratios, at the end of March this year, cash and cash equivalents were KRW 3.1 trillion. Inventory was recorded at KRW 2.5 trillion. Our balance sheet has improved continuously with the liability to equity ratio recording 133% from 139% in the previous quarter. The quartet ratio also improved rising to 110% from 97% in Q4. Net debt to equity ratio recorded 16% from 18% in Q4. Moving onto Slide 5 looking at our cash flow, cash at the beginning of the quarter was KRW 2.7 trillion. Cash flow from operating activities resulted in cash inflow of KRW 1.2 trillion. Cash flow from investing activities resulted in an outflow of KRW 1.1 trillion and cash flow from financing activities resulted in an inflow of KRW 262 billion. As a result, the net change in cash was inflow of KRW 443 billion. Moving on to Slide 6, I would like to go over our performance highlights. During first quarter, our shipment declined by 19% quarter-on-quarter to 8.2 million square meters, while ASP per square meter decreased by 4% quarter-on-quarter to US$770. This ASP decline was mainly affected by the relative higher shipment decline of the small and medium-sized panels compared to larger sized panels. The ASP per square meter of the small and medium-sized panels are usually much higher than the larger sized panels. Moving on to our product mix on Slide 7, the TV segment represent 43% of our revenue, monitors at 21%, notebook at 9%, tablets at 14%, and mobile applications at 13%. The monitor segment rose in share in the first quarter driven by the IPS monitor sales increase with our various customers' new product launch and growing shares of IPS monitors in monitor market. The tablet portion declined during the first quarter since the demand for tablet is usually highly concentrated on Q4 and drops sharply at entering first-quarter. Moving on to Slide 8 and looking at our capacity. Our producible capacity decreased by 6% quarter-on-quarter to 11.2 million square meters in Q1, since we allocated some capacity for R&D activities and started converting (indiscernible) line for LTPS production. When LCD line is converted to LTPS line, then much of LCD capacity is permanently gone. Next we turn to our outlook section. Due to strong (indiscernible) new product order increase, we expect the shipment increase in Q2 is likely to be a mid to high single-digit percentage level and our price is anticipated to stabilize across the board although some products might face price fluctuations. Although shipment increase is expected in Q2, we will maintain our utilization rate at a similar level as first quarter in order to tightly manage our inventory level. Due to the shipment increase and product mix improvements, we expect the profit to be increasing in Q2 compared to first quarter. Next, I would like to touch upon our business strategy going forward. As we look into the overall market in year 2013, we expect the (indiscernible) LCD demand would be similar to year 2012. The industry capacity growth is expected to be limited since some major panel makers are converting from LCD to LTPS (indiscernible) other aggressive display line. In addition, provided by high resolution panel trends are taking off more LCD capacity. We don't expect a meaningful supply demand improvement at this point but if the larger sized high-resolution trend goes faster, it might have some positive impact on the overall supply demand situation in the industry in the second half of this year. While we don't expect any significant industry-wide improvement this year, we are committed to solidifying our profitability by continually increasing the differentiated specialty product portion. It was above 50% of our revenue last year and we are targeting to increase the portion to 70% level this year. In doing this, we will be focusing on improving the value for our product units by continually announcing higher specifications. We anticipate the high-resolution larger size trend might go faster this year and we are committed to fully take advantage of this trend. In the TV segment, we will highlight our technological advantages in [ultra-inch] (ph) TV such as IPS, copper line, and (indiscernible) to boost the sales. In the mobile segment, we have started to supply full-HD larger sized panels to customers and (indiscernible) commercial bases line to LTPS line. We will proactively prepare for the growing needs of high resolution larger panels in the industry. LG Display will improve the differentiated product portfolio by expanding the portion of additional differentiated products such as touch panels. Touch solution for mobile and IC devices will become an additional meaningful differentiated product collectively going forward. Products of OLED TV, our ultimate differentiated product, has been carried out well as planned and we will be focusing on improving the cost competitiveness of OLED by raising the [use rate] (ph) and product efficiency. We anticipate that once the mass production of OLED TV line [reach a 6K] (ph) capacity (indiscernible) from the middle of year 2014, it will begin to positively impact our profitability. Our fair investment strategy going forward will be affected by the size migration trend as well as the demand growth pace of the new technology products such as Ultra-HD TV and OLED TV. Based on it, we will convert the existing lines and pace based on the demand growth pace rather than building new (indiscernible). This ends our presentation for first quarter and I will be glad to take your questions. To use the time efficiently, please limit to three questions per person. Operator, please proceed to Q&A session.
Operator: (Operator Instructions) The first questions will be presented by Mr. Brian White from Topeka. Please go ahead sir.
Brian White - Topeka Capital: Just one comment, the press release doesn't seem to be out in the website, doesn't appear to be working. So, a lot of people aren't getting your financials for this call. My question is, when we look at the second quarter, you talk about 5% to 10% growth. Could you really write that down between smartphones, PCs, TVs and tablets, and what will be stronger, what will be weaker?
Hee-Yeon Kim: Firstly, sorry for the inconvenience for this conference call, and then actually our guidance for the shipment was mid to high single-digits, not 10%, and among the application, actually TV growth should be much higher than our average guidance and then the others would be relatively lower than our average guidance.
Brian White - Topeka Capital: Okay, and could you talk a little bit about what you're seeing in terms of the ramp for the May holiday in China and also 4K TVs?
J.S. Park: 4K TV in China, we're going global, okay. May 1, holiday in China, we expect around 10% worldwide growth rate, Q1 is over around 40%, so YOY growth rate, so we expect China's this year first half demand growth rate much higher than our expectations. So we expect May 1st holiday demand is okay where maybe we're good, but better than our expectations.
Brian White - Topeka Capital: Okay, and how do we think of 4K in total, globally, what are you thinking there?
J.S. Park: Previous forecast was small because the cost portion of UHD panel and set price, but recently lots of people started to talk about local solution of UHD and some other panel makers, so as people start to say 2 million or 3 million, or even 4 million demand will be possible this year but our Company thinks around 1 million UHD TV panel will be shipped to the market. Still we think for higher possibilities, we're watching but considering the total cost of UHD, even low-cost models, and also the set price for UHD, we think around 1 million, we just start, but even 1 million is much higher than our previous forecast.
Brian White - Topeka Capital: Okay. and I just want to be clear, when you look at that 1 million, is that 4K only or do you consider 4K2K in that number?
J.S. Park: 4K2K, yes.
Operator: The next questions will be presented by Mr. Jerry Tsai from HSBC Securities, Taiwan. Please go ahead sir.
Jerry Tsai - HSBC Securities, Taiwan: For Yeon, could you share any color of panel price change for first quarter and second quarter, apples-to-apples comparison please?
Hee-Yeon Kim: In case of apples-to-apples comparison, as we already guided, there is some price fluctuations as well as there is some price erosion in the first quarter in some limited applications, and this kind of pattern will be similar in second quarter as well. We don't expect any overpriced decline in first quarter – we didn't expect any overprice decline in the first quarter and also we are not expecting any overprice decline in second quarter as well. With limited application area, we are expecting some price fluctuating.
Jerry Tsai - HSBC Securities, Taiwan: So, just let me make me more clear, so you think the price fluctuation would be relatively stable, right?
Hee-Yeon Kim: Yes.
Operator: The following questions will be presented by Mr. Jeffrey Toder from CIMB. Please go ahead sir.
Jeffrey Toder - CIMB: Couple of questions. First, utilization rates, you said that it will remain the same in second quarter as first quarter, can you tell us the first quarter utilization rates?
Hee-Yeon Kim: It was low 90%.
Jeffrey Toder - CIMB: Okay, so just to think about these numbers for a second, your capacity has been declining because of the conversion of line 6 as you mentioned, do you expect your capacity in the second quarter to be flat versus first quarter or is it still falling?
Hee-Yeon Kim: In the second quarter, we think our capacity should be similar as first quarter and our utilization ratio also remains similar level of low 90%.
Jeffrey Toder - CIMB: Okay, makes sense. And then just to return to some of your comments on OLED TV, you mentioned that you would come on line in mid-2014 and I think you said that it would start contributing to the business at that time. Could you give us some idea of what you're expecting on yields or profitability? Usually if a new product comes in, especially at a smaller scale, it might not be accretive to your earnings. So, you're obviously thinking about OLEDs differently, so if you could elaborate on that, that will be great.
Hee-Yeon Kim: It's actually very tough question for us now. As we mentioned it is very (indiscernible) it is very tiny form and scale. Actually why we are mentioning about our meaningful profit generation from the mid-year 2014, at that time, we will fully be ramping up – we will ramp up our new OLED facility with 26K. With this kind of meaningful production scale, we might be successful to get some meaningful profit generation. So right now, it's very difficult to mention about our growth target and the profit contribution at that time.
Jeffrey Toder - CIMB: Okay then how do we think about – you mentioned meaningful a couple of times, so that means it's a number that we should be thinking about and including in our models, so how should we think about that number, what is meaningful?
Hee-Yeon Kim: Meaningful means actually with this meaningful volume scale at 26K from 8K, actually we are targeting our user ratio to be reasonable level, maybe similar to LCD, not exactly same as LCD, but anyway similar to LCD level with that time, we believe we can be successful to generate profit with this kind of volume scale.
Jeffrey Toder - CIMB: Okay, let me ask it in one other way and then I'll stop on this topic. Do you expect your OLED profitability to be higher or lower than the Company average at that time?
Hee-Yeon Kim: At that time, that time means mid-year 2014?
Jeffrey Toder - CIMB: Yes I guess, because that's when you're saying it will have a meaningful contribution.
Hee-Yeon Kim: We have usually higher than normal LCD but it's totally dependent on our yield improvement piece. Actually yield improvement piece would be in line with our initial forecast. Anyway there should be profit generation stage. But what we are trying to highlight for the OLED business, eventually, maybe in coming two to three years later, as OLED margin contribution or profit generation or profit margin start, should be higher than LCD.
Jeffrey Toder - CIMB: Okay, thank you. Can I ask one question on CapEx or would you like me to re-queue?
Hee-Yeon Kim: Yes.
Jeffrey Toder - CIMB: Yes, okay. So my question on CapEx spend is, so a lot of the CapEx for OLED is this year, roughly can you give some idea of what percent it is in 2013 versus 2014?
Hee-Yeon Kim: Actually, based on delivery basis of CapEx, maybe 50% of our capacity should be focusing on OLED or LTPS for the new technology development, and next year, the portion of the new development should be higher than this year.
Jeffrey Toder - CIMB: Okay, so the portion of OLED – because LTPS will be completed this year, so the portion of OLED should be higher than it is this year or higher than 50%?
Hee-Yeon Kim: Higher than 50% next year.
Jeffrey Toder - CIMB: Okay, and do you expect your CapEx level to be similar?
Hee-Yeon Kim: Anyway, CapEx should not be higher than this year, because we will be more focusing on the new technology instead of LCD side.
Jeffrey Toder - CIMB: Okay, great, thank you very much.
Operator: The following questions will be presented by Mr. Arthur Lai from Citigroup. Please go ahead sir.
Arthur Lai - Citigroup: I'm calling to ask two questions. First one is related to touch panels. You have mentioned that touch panel you think is a higher value product. Could you share any volume or revenue topic for this year and how much of the gross margin we should get?
Hee-Yeon Kim: On that 4-inch, unfortunately right now we don't have numbers because that kind of business will be materialized in the second half of this year and we try to choose various (indiscernible) solutions among our various kinds of touch solutions, so we will be more clear, guidance or clear numbers, maybe next earnings conference call. We just try to give you our directional position for the touch business.
Arthur Lai - Citigroup: Yes, thank you, and (indiscernible) solutions I think there is something so-called in-cell, on-cell, is that related to (indiscernible) process, right, and the other is more like discreet process from the touch panel makers. So which technology you will focus in the future and do you expect in-cell technology has size limitation? For example, rumors say that over 4-inch in-cell has technology charge. So can you comment with these two questions? Thank you.
Hee-Yeon Kim: For first question, actually as I mentioned before, we have lots of solutions for various kinds of applications. In case of smartphone related touch embedded solutions, mainly in-cell, and then in case of tablet or IC device, the touch solutions should be different because the cost structure and our customers' needs and demand are also differentiated. So in this, our question for touch business, we will be diversified based on application by application. And then your second question, where touch embedded solutions can be expanded to bigger size, especially for smartphone, we can deliver 5-inch or 6-inch in-cell solutions for smartphone. We don't have any issues for the adoption of touch embedded solutions for the smartphone for now.
Arthur Lai - Citigroup: Okay, thank you. And my last question is, can you comment about the cost reduction from the material for the second quarter or for whole year?
Hee-Yeon Kim: Every quarter we try to reduce our material cost around (indiscernible) level.
Operator: The following questions will be presented by Mr. Jerry Tsai from HSBC Securities, Taiwan. Please go ahead sir.
Jerry Tsai - HSBC Securities, Taiwan: Just one more follow-up question. About your first quarter performance, could you give more detail about your non-operating income?
Hee-Yeon Kim: Non-operating income means regarding profit size. Actually we had some FX related transaction loss because actually first quarter versus Q4 last year, U.S. dollar average rate remained similar. However, quartet end to quarter end, U.S. movements was about 4%. So because of this debt, actually our FX transaction loss related to our U.S. dollar debt has increased in first quarter. So that was reflected in our first quarter recording low (indiscernible) together with our usual interest expenses around KRW 400 billion. That's the main reason. Is it okay for your answer?
Jerry Tsai - HSBC Securities, Taiwan: Yes, sure, many thanks.
Operator: The next questions will be presented by Mr. Brian White from Topeka. Please go ahead sir.
Brian White - Topeka Capital: Just want to go back to CapEx. What did we say for CapEx growth this year and the actual number?
Hee-Yeon Kim: CapEx remained similar at around KRW 4 trillion.
Brian White - Topeka Capital: Okay, and when we look at the second quarter, I know TV will outperform, what market do you expect to be the weakest in the June quarter?
J.S. Park: Weakest means YOY or 2Q growth rate.
Brian White - Topeka Capital: Quarter-over-quarter.
J.S. Park: Quarter-over-quarter, so which market is the weakest one (indiscernible)?
Hee-Yeon Kim: (indiscernible) is regional basis, this market means U.S. (indiscernible) emerging market, which one is the weakest areas?
Brian White - Topeka Capital: What's the weakest TV, PC, tablet, smartphone, what market will be the weakest quarter-on-quarter?
Hee-Yeon Kim: For this side, as I mentioned before, the small and medium-sized, demand is not that stronger nowadays and also small and medium-sized seasonality in Q4 was severe than other applications, so this kind of small and medium-sized demand meaningful increase should be in the second half of this year.
Brian White - Topeka Capital: Okay, do you think it will go down quarter on quarter or just show very small growth?
Hee-Yeon Kim: In case of applications that we have diversified customer base, yes we can expect some – a moderate increase in [contribution] (ph) and while some applications, we don't have any diversified customers, yes we will have some quarterly decline.
Brian White - Topeka Capital: Okay, just finally going back to the press release and the presentation, when will those be available?
J.S. Park: We will check our system for that problem on our side. We are contacting with the networking system, the company, so we will get back to you when it's available by the web.
Hee-Yeon Kim: If you send your e-mail, we will directly send the materials.
Brian White - Topeka Capital: Okay, thanks.
Operator: The following questions will be presented by Mr. Matt Evans from CLSA. Please go ahead sir.
Matt Evans - CLSA: Could you tell us what the (indiscernible) capacity on the 6G conversion will be and what your target is for that?
Hee-Yeon Kim: That initial capacity for that LCD (indiscernible) is 60,000 to 70,000 which will be converted to 20,000 LTPS facility. It has already started from first quarter and it was the main reason for our capacity drop in the first quarter and it will be finalized maybe in Q4 this year.
Matt Evans - CLSA: Is 20,000 the suggested design capacity when you convert 6G, is that correct?
Hee-Yeon Kim: Yes, 20,000 is the LTPS design capacity at the conversion.
Matt Evans - CLSA: And so far this year that plan has not changed presumably, is it the same plan you had three months ago?
Hee-Yeon Kim: Yes, actually the migration schedule will remain same, however the level of ramp up and the ramp-up timing should be flexible based on our customer demand situation.
Matt Evans - CLSA: Right, so that the equipment move-in is already set, but when you ramp up the equipment, it will depend on customer demand, is that correct?
Hee-Yeon Kim: In terms of equipment (indiscernible), we finalize maybe second half of this year, and then the ramping up will be flexible.
Operator: Currently, there are no participants with questions. (Operator Instructions) The following questions will be presented by Mr. Dan Malcolm from Viking Global Investment. Please go ahead sir.
Dan Malcolm - Viking Global: I just wanted to follow up on the earlier questions just in terms of the 2Q shipment outlook for mid to high single-digit growth sequentially, can you just break that out by the product mix of mobile, tablet, PC, notebook, monitor and TV, just roughly how you expect those to trend relative to the overall shipment guidance for 2Q?
Hee-Yeon Kim: Yes, actually continue to (indiscernible) for that, but in case of TV, yes tends to be double-digit growth, and monitors and notebooks, they should be similar with our average guidance trend, and the others, probably they should be similar to our average guidance but we might have – we don't have any chance to see that kind of foreign growth. I hope that should be enough for your answer.
Dan Malcolm - Viking Global: Okay, yes. So small size, your expectation is that actually overall could actually grow sequentially in line with the guidance but maybe a little bit wider, and I think your point earlier was where you're kind of self sourced, you're going to have decline sequentially, and where you have, where you've got – in areas where you have multiple customers,, you should see growth, is that what you're, is that the right way to read that answer?
Hee-Yeon Kim: Yes.
Dan Malcolm - Viking Global: Okay, fantastic, thanks so much. And then just in terms of small size for the mobile area, what is your expectation just in terms of screen size as you go through this year, I assume everything you've been doing so far in that segment is 4-inch or do you guys supply for greater than 4-inch today and what's your expectation on what that will do the test of this year?
Hee-Yeon Kim: Maybe still our major portion for the size in mobile side is 4-inch but nowadays many customers in Korea and China players keep asking about bigger screen size such as 5-inch or 5.25-inch, even 6-inch. So this kind of bigger sized screen portion we are continuing to increase. And this kind of customers portion will increase from high single digits in Q4 last year and potentially it will be increased to double-digits among our total shipments.
Dan Malcolm - Viking Global: Great, thank you, and then did you talk about 10% customers in the quarter, what they were in 1Q relative to 4Q?
Hee-Yeon Kim: Actually it was among high single digits, it will be close to over 20%.
Dan Malcolm - Viking Global: I'm sorry, what will be?
Hee-Yeon Kim: Alright, please wait for the check-up.
Dan Malcolm - Viking Global: Okay.
Hee-Yeon Kim: Malcolm, could you repeat your question because I couldn't catch your intention, what's the meaning of…?
Dan Malcolm - Viking Global: So, did you have any 10%, how many 10% customers did you have in the quarter? I assume you had at least a couple of 10% customers.
Hee-Yeon Kim: On our total revenue?
Dan Malcolm - Viking Global: Of total revenue, yes, 10% of total revenue or more and then if they were (indiscernible) this quarter, what were they last quarter, you know what I mean?
Hee-Yeon Kim: We only have two biggest customers, one is in Korea, one is in the U.S. Together with these two customers, sales contribution is already over 50%.
Dan Malcolm - Viking Global: Over 50% with those two. And then we don't have any…
Hee-Yeon Kim: Yes, we don't have any double-digit sales contributor.
Dan Malcolm - Viking Global: Yes, right, I was just trying to capture the change in the percentage of revenue for those two customers in Q1 versus in Q2. I mean sorry in Q4, I mean Q1 versus Q4.
Hee-Yeon Kim: Yes, in total, that was over 50%, but actually in Q4, our U.S. customer was higher among 50%, but in first quarter, our Korea customer is higher in terms of revenue contribution.
Dan Malcolm - Viking Global: Okay, great. Thank you so much. I appreciate it.
Operator: The following questions will be presented by Mr. Arthur Lai from Citigroup. Please go ahead sir.
Arthur Lai - Citigroup: Thank you for taking my questions again. I would like to ask a follow-up question on the high-resolution panel. You mentioned you believe high-resolution panel will be chain in the temp rate and in terms of the big brand technology, will you believe (indiscernible) rate will change to Oxide or LTPS from regional amorphous technology in 2013 from your end? Thank you.
Hee-Yeon Kim: Actually we mentioned about trying out high-resolution not just for the tablet, it's the overall trend for overall application from smartphone to television. If your question is related to specifically tablet size, actually in this year, with the higher resolution tablets, we are okay with just the part of what's existing on the (indiscernible).
Arthur Lai - Citigroup: So, (indiscernible) you don't have plans to use Oxide or LTPS to separate in this year?
Hee-Yeon Kim: Actually, we are developing that kind of tablet, that thing, but actual production decision-making will be done between costs increase versus customer value. Actually if you already know, if we migrate to Oxide or LTPS for the tablet side, the cost increase is meaningful, so we have to be balancing between cost increase versus customer value. So, based on this kind of to comp rate, we will be deciding the production timing for that kind of new technology.
Operator: The next questions will be presented by Mr. Dan Malcolm from Viking Global Investors. Please go ahead sir.
Dan Malcolm - Viking Global: Just one last question, what's your expectation for depreciation for the year?
Hee-Yeon Kim: For the year, the depreciation expense will be around KRW 4 trillion from previous KRW 4.5 trillion.
Dan Malcolm - Viking Global: So it's lower than previously expected and it will be roughly flat then from first quarter for the rest of the year?
Hee-Yeon Kim: (indiscernible) in the second quarter and third quarter, and then we'll come back to the first quarter level in Q4.
Dan Malcolm - Viking Global: Thank you very much. I appreciate it.
Operator: Currently, there are no participants with questions. (Operator Instructions)
Hee-Yeon Kim: Operator, if we don't have any questions, we will end this Q&A session.
Operator: Actually there is a person who is ready for his question. He is Matt Evans from CLSA.
Hee-Yeon Kim: Okay, we will.
Operator: Okay, so last question will be taken by Mr. Matt Evans from CLSA. Please go ahead sir.
Matt Evans – CLSA: Does that depreciation number includes amortization, of KRW 4 trillion?
Hee-Yeon Kim: Yes.
Matt Evans – CLSA: And you said that, I think in the local – I'm not sure if you – I couldn't quite hear what you just said but I think in the local meeting today, you said in 2Q it would fall about KRW 100 billion from the first quarter, is that right?
Hee-Yeon Kim: Yes.
Matt Evans – CLSA: Okay, and then will be third in 3Q and then back you said to the first quarter level in the fourth quarter, did I hear you correctly?
Hee-Yeon Kim: Yes.
Matt Evans – CLSA: Okay, thanks very much.
Hee-Yeon Kim: So, there are no questions further. We will end this conference call. On behalf of LG Display, we thank you for participating in our first quarter earnings conference call. Should you have further questions, please contact either myself or my colleagues. Thank you for your participation. Thank you.